Operator: Good day, ladies and gentlemen, and welcome to the Landec Third Quarter Fiscal Year 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this program is being recorded. I would now like to introduce your host for today’s program, Mr. Gary Steele, Chairman and CEO of Landec Corporation. Mr. Steele, you may begin.
Gary Steele: Good morning, and thank you for joining Landec’s third quarter fiscal year 2013 earnings call. I have with me today, Greg Skinner, our Chief Financial Officer. This call is being webcast by NASDAQ and can be accessed at Landec’s website at www.landec.com under the Investors on the Events and Presentations page. The webcast will be available for 30 days through April 26, 2013. A replay of the teleconference will be available for one week until midnight Eastern Time, Wednesday, April 3, 2013 by calling 888-266-2081 or 703-925-2533. The access code for the replay is 1607492. During today’s call, we may make forward-looking statements that involve certain risks and uncertainties that could cause actual results to differ materially. These risks are outlined in our filings with the Securities and Exchange Commission, including the company’s Form 10-K for the fiscal year 2012. We reported another good quarter in yesterday’s third quarter and nine months earnings release. Revenues for the quarter grew 47% to $117.9 million year-over-year and even with adverse weather in our Western U.S. sourcing regions during the month of December and January, which reduced gross profits during the quarter by $3 million. We generated $4.8 million in net income equal to the net income and earnings per share for the third quarter of the last year. For the nine months, revenues grew 42% and net income grew 43% before including the $3.9 million non-recurring earn-out adjustment recorded during the second quarter of our fiscal year 2013. Highlights of our strong operating results for the third quarter and nine months include first, growing Lifecore revenues 57% and 20% respectively and its net income by 98% and 16% respectively; second, increasing revenues in our non-green bean Apio Food business by 8% for the quarter and 12% for the nine months respectively despite produce sourcing issues in California during the third quarter; third, increasing Apio’s export revenues by 8% and 15% respectively, while increasing margins during that quarter; and fourth, exceeding our plan for GreenLine earnings for the quarter and nine months. Fifth, we launched a family of superfood products with significant initial demand that exceeds our most optimistic forecast. And sixth, benefiting from the advanced construction at our partner site, Windset, the Windset Farms California location, where its hydroponic greenhouse capacity is expected to double by calendar year end. All-in-all, a very productive quarter and nine months. In addition, we have reached a point in our integration project with GreenLine and Apio, where we now have a common ERP system capability, so we can commence cross selling activities to our respected customers. The nine months results put us well on track to achieve the best operating results in Landec’s history, consistent with our strategic direction which has allowed us to steadily increase year-over-year revenues, gross profits and net income over the last six quarters. Let me turn it over to Greg for details of the quarter.
Greg Skinner: Thank you, Gary. In yesterday’s new release Landec reported for the third quarter of fiscal year 2013 that revenues increased 47% to $117.9 million versus revenues of $80.1 million for the third quarter of last year. The increase in total revenues during this year’s third quarter compared to last year’s third quarter was primarily due to first, $26 million of revenues from GreenLine which was acquired in April of 2012. Second, a $4.3 million increase in revenues in Apio’s non-GreenLine value-added businesses, which includes Apio Cooling and Apio Packaging as a result of an increase in new product offerings, unit volume sales increases and a favorable product mix change. Third, $1 million in Apio’s export revenues due to a 6% increase in export unit volume sales and also favorable pricing. And fourth, a $6.3 million increase in revenues for Lifecore, due primarily to product shipments planned for the second quarter being delayed and shipped during the third quarter. For the third quarter of fiscal year 2013 net income was equal to net income for the third quarter of last year at $4.8 million or $0.18 per share. Items that increased net income for the third quarter of fiscal year 2013 compared to the third quarter of last year were; first, $3.9 million increase in pretax income for Lifecore; second, $2.2 million from GreenLine; and third, $381,000 decrease in the loss at corporate. These increases in net income were offset by; first a $3.5 million decrease in pretax income in Apio’s non-GreenLine value-added businesses, primarily due to weather-related sourcing issues during the quarter. Second, a $2.5 million lower increase in the change of the fair market value of Windset during the third quarter of fiscal year 2013 compared to the fair market value changed in the third quarter of last year. And third, $566,000 of interest and amortization expenses associated with the acquisition of GreenLine. For the first nine months of fiscal year 2013, revenues increase 42% to $334.6 million versus revenues of $234.9 million for the same period last year. The increase in revenues during the first nine months compared to the first nine months of fiscal year 2012 was due to first $70.3 million of revenues from GreenLine. Second, a $17.1 million increase in revenues in Apio’s non-GreenLine value-added businesses. Third, an $8.9 million increase in Apio’s export revenues. And fourth, a $5.6 million increase in revenues from Lifecore. These increases in revenue were partially offset by $2.3 million decrease in corporate revenues, primarily due to the termination of the Monsanto license agreement last fiscal year. For the first nine months of 2013, net income increased 82% to $18.1 million or $0.68 per share compared to net income of $9.9 million or $0.38 per share for the same period last year. The increase in net income during the first nine months of fiscal year 2013 compared to the same period last year was due to $11.1 million increase in Apio’s pretax income and $1.2 million increase in Lifecore’s pretax income. The increases in Apio’s pretax income were comprised of first the $3.9 million non-reoccurring reversal of the GreenLine earnout liability at the end of the second quarter. Second, $8.6 million from GreenLine and third, a $1.6 million increase in the fair market value of our Windset investment. These increases in Apio’s pretax income were partially offset by a $1.3 million decrease in pretax income in Apio’s non-GreenLine value-added businesses primarily due to weather-related sourcing issues during the third quarter and $1.7 million of interest in amortization expenses associated with the acquisition of GreenLine. The $12.3 million net increase in the pretax income for Apio and Lifecore was partially offset by $2.3 million reduction in corporate license fees, primarily due to the termination of the Monsanto license agreement and a $2.2 million increase in income tax expense. Landec ended the third quarter of fiscal year 2013 with $13.7 million in cash and marketable securities. During the first nine months of fiscal year 2013, cash and marketable securities decreased by $8.4 million due primarily to first, capital expenditures of $4.5 million; second, principal debt payments of $12.1 million; and third, the full earn-out payment of $10 million related to the acquisition of Lifecore. These decreases were partially offset by first $13.5 million in cash flow from operations; second, a $2.7 million tax benefit from stock-based compensation; and third, $1.4 million in cash from employees exercising stock options. At the end of the third quarter, the company had $26 million available to borrow under its line of credits. Gary?
Gary Steele: Thanks, Greg. Let’s talk about the outlook for the year and early thoughts on longer term priorities and plans. In our green bean business, we have experienced weather-related shortfalls in produce sourcing in the month of March, primarily from freezes in Florida, which have impacted the first month of our fourth quarter. Suppliers have been scrambling to fund enough supply of beans to serve market demand. As the U.S. market leader for green beans, our appetite is big and freezes have delayed the maturation of plans and accordingly bean deals have been very low. We now expect the financial impact from these freezes during the fourth quarter could reduce pretax income by approximately $2 million, which is reflected in our fourth quarter guidance. Offsetting the combined $5 million of impact from the $3 million unfavorable sourcing that happened in California during the third quarter and now the $2 million sourcing issue in March related to green beans during the fourth quarter, that total of $5 million of adverse effect is essentially offset by the favorable sourcing we had during the first six months of our fiscal year. So, it’s pretty much a balance. Notably for the full fiscal year in spite of three separate negative weather-related sourcing events, one associated with green beans from the summer drought in the Midwest, one in California affecting the third quarter and one in Florida affecting the fourth quarter, we expect a very good year. As we get into April, produce sourcing generally becomes much more reliable both in California for our value-added produce and in Eastern regions for green beans. Barring any surprises, we estimate year-over-year revenue growth of 37% to 38% and net income growth of 70% to 75%, which does include the $3.9 million one-time non-recurring earn-out adjustment. For the year, we also project generating $20 million to $25 million in cash flow from operations and spending $8 million to $9 million in capital expenditures and EBITDA should be on the high range of our guidance early in the year towards the $40 million range. Looking to the future, our priorities are clear. First, we need to continue the acceleration of new product introductions in both our food and medical businesses. We are known as innovators. Along with the strength in distribution and differentiation in material science polymer chemistry, innovation is what has provided us with leading market share positions in our two core businesses. Our second priority is moving towards the focus on facility and capacity expansion. We need to expand our California food operations and reconfigure our Ohio and possibly our Pennsylvania facilities. We also need to expand our sterile filling unit operations at Lifecore as more and more customers are requesting that we move up the value chain by performing the sterile filling function using our HA materials or in some cases using a partner’s materials that are non-HA materials. A third priority is to look very hard at our food customer base and be willing to make tough decisions when needed because of immense pressures on one or two fairly sizable retail grocery chains in the U.S. to improve their financial performance in the short-term. We and other suppliers are beginning to feel pressures from several retailers to commoditize our products and lower our prices. We will likely choose to resist these pressures in these cases where margins would go below our thresholds, our acceptable thresholds. We want to serve customers with high-quality differentiable products along with excellent service. Most customers recognized value and appreciate our value proposition. The fourth priority is we want to step up our cross-selling efforts between Apio and GreenLine customers. Now that our ERP system is up and running and integrated, we want to do this based on providing two great leading national brands Eat Smart and GreenLine from one supplier that’s us. Last but not least, we want to continue to grow Lifecore biomedical business by focusing on the high margin ophthalmology sector and by continuing to add new partners who can benefit from our unique capabilities in fermentation, separation, purification and sterile filling of highly viscous materials. Landec’s business and market focus is on healthy living through the development and commercialization of healthy prepackaged foods and innovative materials for medical applications. Our food and medical businesses address substantial and growing markets. We do have periodic weather-related risk in our food business as experienced so far this year. I mean as this fiscal year shows, we can offset those weather-related risks through continued product innovation and strong operations from both our food and medical businesses. We are ready for your questions.
Operator: (Operator Instructions) Our first question comes from the line of Morris Ajzenman from Griffin Securities. Your question please.
Morris Ajzenman: Good morning guys.
Gary Steele: Good morning Morris.
Greg Skinner: Good morning Morris.
Morris Ajzenman: First question, I have a couple of questions here. The $1.l5 million operating synergies you touched on specifically with integration of GreenLine with Apio and you talked about additional savings, cost savings going forward, do you care to put an approximate range of numbers that could equate to over the next 12 to 18 months that could be realized?
Greg Skinner: Well, we haven’t up until now, I can tell why because the operating synergies, the $1.5 million those were realized were right literally within 30 days of closing the deal. The next round of synergies it’s hard to quantify because it has to do with production efficiency and this is the expansion of the facilities and new layouts of the facilities back east and then the cross selling, so I.
Gary Steele: So, we just don’t know Morris.
Greg Skinner: It’s hard to estimate what that means.
Gary Steele: We would be doing you a disservice to throw out some numbers we got the, pardon the expression, low-hanging fruit and now I think it’s going to be a little bit more challenging to quantify this, but we know they are out there. But we will as we do and reported on a quarterly basis, but we just don’t know right now.
Morris Ajzenman: And just a quick follow-on then, $1.5 million savings SG&A was $8.5 million in the past quarter should it be that run rate or slightly lower going forward?
Greg Skinner: I think operating expenses for the fourth quarter should be equivalent to the third.
Morris Ajzenman: Okay and then two other quickies here. You talked about the $3 million incremental costs that hit the gross margins, the sourcing for Apio and non-green bean, talk about fourth quarter sourcing for the green bean GreenLine of a $2 million pretax hit, I did the quick math it’s not too calculated, but am I in line here that in this current quarter it’s about $0.07 per share after-tax impact and probably about $0.05 per share net after-tax impact for the fourth quarter approximately from additional sourcing costs?
Greg Skinner: Yes, you got it right.
Morris Ajzenman: Okay and then last question and I will get back in queue here. You talked about production – now we are talking about Windset and how the production performance exceeding original expectations you talked about that on and on and you had us out there about six months ago and things really looked great there, but what does that mean exceeding production 20% more than you initially expected 40% more, 10%, I don’t know what that exactly means exceeding the initial expectations?
Greg Skinner: When we were talking about it, I know I have said that GreenLine was exceeding our expectations. I didn’t remember commenting on Windset. Are you talking about on this call today?
Morris Ajzenman: And so if you look at the back of the release, what is the status of the Windset?
Greg Skinner: Yeah.
Morris Ajzenman: And then in that answer you guys, as we might ask, you answered production performance has exceeded Windset’s original expectations.
Greg Skinner: Okay.
Morris Ajzenman: So, I am just curious what that means by exceeded?
Greg Skinner: We are talking about yields. When they originally were putting that plan together for the new California operation, they estimated what they thought their yields would be from that plant, and it’s turned out that their yields have exceeded those original plans. That’s what we meant.
Gary Steele: And as a private company, they guard that very carefully, so we are not disclosing that, but it’s rather remarkable. Clearly, they are the highest yielding tomato facility in the world right now, and so we hope that will continue as they move into the next phase.
Morris Ajzenman: It’s being helped from every maybe next 17 years, here is also the handle, I know that prior to getting on a real handle what does that mean based on productions, or is it something that wouldn’t compromise their competitiveness that will give us an idea of what this means as far as better efficiency, better yields etcetera, etcetera. Anyhow, well I get back in line.
Gary Steele: Let’s think about it. We’ll think about it.
Morris Ajzenman: Okay.
Operator: Thank you. Our next question comes from the line of Tony Brenner from Roth Capital Partners. Your question please.
Gary Steele: Good morning Tony.
Tony Brenner: Good morning. Thank you. I have two subjects. First of all, I wonder if you could drill down a little bit on the outlook at least for short-term outlook for Lifecore given that – given the unevenness of the quarterly run-rate and in addition the recent approval by the FDA or new products, how quickly might that kick in and how long does it take to ramp that up?
Greg Skinner: Well, let’s go really short-term, I will just talk about the fourth quarter. We expect the fourth quarter to be in line with the first and second quarter. Obviously, the big quarter this year was the third quarter. Going forward, our goal is to grow the top line 15% and the bottom line 20%, and that’s going to come from a variety of new products into greater sales to existing customers, new customers. And so it’s that mix that’s going to result in those increases.
Tony Brenner: Well, that was you go before these new products came on stream, was it not, so there is no impact?
Gary Steele: It’s still our goal.
Tony Brenner: Okay. Second question has to do with Windset, your equity in the fair market value of Windset as reported was significantly higher in the third quarter than you had guided a few months ago, and the outlook in the fourth quarter is also higher, what was the justification for that?
Greg Skinner: Just new information from Windset, I mean, they have put together their FY ‘13 plan, their 5-year forecast. Based on that new information, we obtained the new appraisal and the new appraisal shows that the value had increased and we recorded it accordingly.
Tony Brenner: Okay.
Greg Skinner: I mean, it’s a matter of timing of when this happens. If you look at this year that the lion’s share of the increase occurred in our first quarter, whereas last year, you could see it’s reflected in the results, it happened in the third quarter.
Tony Brenner: Okay. So, as we look then to fiscal 2014 in the middle of the year or the end of this calendar year, they doubled their capacity, their production capacity, so what does that mean in terms of the impact that has on Windset’s fair market value, and from a quarterly standpoint, when would that increase, the bulk of that increase likely be recognized?
Greg Skinner: Well, I will answer the last question first. I believe, assuming that we have new knowledge and we get its updated numbers. It will probably occur in the first quarter again. As far as the increase, I just want to make sure it’s clear they are not doubling their capacity overall, they are just doubling their capacity overall, they are just doubling their California capacity, so it’s going from 64 acres that are 128 acres. They have got 84 acres up in Canada. They are like 40 acres over Nevada. So, it’s not doubling their overall capacity. But the increase should be similar to what you witnessed when one and two came online. So, if you go back and you look at the increase from last year the increase from this year may not be quite that high, but it’s going to be in that ballpark. And if all the numbers come in FY ’14 you should see that whole increase in FY ’14, so.
Tony Brenner: Most of it in the first quarter?
Greg Skinner: Yeah, the lion’s share of it in the first quarter, if it should be a higher increase next year than it was this year.
Tony Brenner: Thank you.
Gary Steele: Thanks Tony.
Operator: Thank you. Our next question comes from the line of Peter Black from Wynnefield Capital. Your question please.
Nelson Obus: Hi actually it’s Nelson Obus. You talked about a lot of uses of capital even though you are generating a lot of free cash flow and you don’t know what’s going to happen there could be an opportunistic investment that would pop-up like GreenLine. I am curious that you state that on February 24th, you only had $26 million available to borrow under your lines of credit. Is that something, it’s a little bit of incongruous that you wouldn’t have more opportunity to borrow against the lines should something very attractive come up here, do you want to comment on that?
Gary Steele: Yes, yeah, the line is just based on AR and inventory. So, it’s those balances that are what the line is based on at Apio and at Lifecore that doesn’t include the full potential borrowing capacity of the company, it’s just the current lines that are in place. And they are also capped at both places, so the availability or that when you do the math could actually be higher than the maximum amount of our line. And we haven’t felt the need to go back and do any renegotiation.
Greg Skinner: Nelson there is probably another $30 million of borrowing capacity that’s not even – we didn’t even mention.
Nelson Obus: Okay, I got it, I got the picture. Then the other question is related to the third quarter results here. When you talk about some of the delta this number two, with $2.5 million lower fair market value change in the third quarter of Windset vis-à-vis the third quarter of last. Now, I think what you just said was that was the timing issue that the general valuation of Windset is going up, let me ask you a bigger question. When you have that just looking out when Windset is all up and running and I know they are mostly in tomatoes. But if we had another bad year of weather or another bad six months of weather in California, to what degree could Windset improve that situation and give you better sourcing are you really going down two parallel paths as far as the vegetables involved?
Gary Steele: We are going down the two parallel paths. We source tomatoes from Windset for our trays. But they are a very minor supplier to us, because the vast majority of the products that we are delivering to customers involve products that Windset is not growing in greenhouses hydroponically. So, we go now in parallel paths. One of the reasons we are interested in Windset is if you have a long-term view, I mean ten years plus view, more and more types of produce categories should be growing the way they are trying to grow things in greenhouses just that people haven’t done it before just outside of peppers, cucumbers, eggplant and tomatoes. So, that’s one of our goals is to figure out what else can be can be grown in the way they grow it because it really minimizes if not eliminates weather-related risk. But we are – our sourcing is pretty much in parallel with what they do, it’s not – they are not going to save this so to speak if we have a bad winter, so we just have to deal with that reality for now Nelson.
Nelson Obus: Have you done any preliminary analysis of what the results would be, where you tried to go vertical with your sort of legacy green products?
Gary Steele: Go vertical could you explain that a little bit I am not understanding it, if we go vertical?
Nelson Obus: Well, you know that you would control at all, in other words it’s just sort of what you described that you were looking at over a many-year period, you were implying that that was the goal that might make economic sense and I am just asking whether or not that’s a thought or whether you have put a pencil to paper?
Gary Steele: No, pencil to paper, we are actually, we are doing some preliminary work with them to look at some alternative targets those may or may not pan out Nelson and they are going to take quite a while to figure out. But it’s more than just a casual thought.
Nelson Obus: Okay, more than pipe dream. Okay, good.
Gary Steele: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Krueger from Northland. Your question please.
Chris Krueger: Good morning.
Greg Skinner: Hi Chris.
Chris Krueger: Hi, I think in your press release you talked about that you are going to introduce more solid type of products, can you talk about the timing of this and if you have already secured any retail chains for distribution?
Gary Steele: Yes, the answer is yes to your last question. The sweet kale salad is obviously consumed, it’s literally all consuming us. We just had no idea that the demand could be as significant as it is for sweet kale salad and so it’s being sold primarily in Costco and a couple of retailers. There is interest from food service operators as well and we are just scrambling like crazy to build our capacity to deal with this. And we view it, don’t just think of as sweet kale, view it as Landec’s commitment to delivering to customers a new category of salads that are made out of vegetables, this is not a leaf lettuce product line, this is a vegetable line that is made in the form of salads with good mixtures, super foods really tasty that whole kind of thing. And so we have a family that’s right behind sweet kale salad. And so we have customer landing up for not only sweet kale salad, but for the next one, and the next one, next one. So, we intend to launch a new product in this category pretty much every quarter Chris. And so but right now our focus is catching up on the demand for sweet kale salad. It’s really I have just got to tell you no one had any idea how big the demand would be. But right behind it there is our other products that follow-on.
Chris Krueger: Okay, great. Another new product was Beneforté broccoli, can you talk about demand for that. And I think there might have been some growing issues with that?
Gary Steele: Yeah there were some growing issues with it, it’s just so for people who want to know we have exclusive relationship with Monsanto, it’s a seed variety that was a unique variety that came from Southern Italy and it was tested for years. And in this first year of commercial launch there were some times of the year which the yields were not as good as we wanted and the quality was not as good as we wanted. It will be fine for most of the year, but there where some months when it was struggling. And so we have come to a basically an approach where we know when it’s hearty and healthy and strong and all that and that’s when we will sell it. We will sell it during those times of the year. And then in other times of the year when we are not so sure we are going to substitute with our normal broccoli. And Beneforté has, well, I think it’s like three times the level of vitamins and antioxidants of normal broccoli, so it’s again a super food, it’s not, there is no genetic and engineering by the way this is all traditional hybrid. And so we have figured it out how to make this work and turns out that the customer really likes it. The consumers like it, so we will continue it, but it will be more of a seasonal product line than an all year round product line Chris.
Chris Krueger: Okay, last question I think I know the answer, but can you – I know it’s the weather issues in California impacting sourcing, can you confirm that the Windset facilities felt no impact form the weather?
Gary Steele: None, now no impact at all, they are rather immune to as well. By the adverse weather in California is you go down and see what Southern California and to Arizona you might have watched the golf tournament that was done in Tucson and it got cancelled because of snow. That’s the kind of thing we were dealing with and that’s where the growing was going on, whereas Windsets up here in the Central Coastal region of Santa Maria and boy, nothing bothered them, they are fine.
Chris Krueger: Alright, that’s what I thought, that’s all I got. Thanks.
Gary Steele: Yeah, you are welcome.
Operator: Thank you. Our next question comes from the line of Daniel Rizzo from Sidoti.
Daniel Rizzo: Yeah, hi guys. Just a couple of quick questions, in terms of the launching new products as you catch up with this retail demand, what do you think that’s going to be, I mean, there is going to be like another couple of months before you think you kind of where you should be in terms of looking for other new products?
Gary Steele: Already know what the other new products are that we are planning to launch. So, it’s not like we are looking for them, but I would – we are going to be launching them in our first quarter of our new fiscal year, which begins June. So, they will be ready to go in the first quarter.
Daniel Rizzo: Okay. And then you indicated that you are getting some pressure from a supermarket chain just trying to commoditize the business, which is not a commodity business, is that also, are you willing I guess to walk away or is that something that, that would be as you considered the walking away from that bad customer?
Gary Steele: Yeah, you read it right. Let’s face it. There are couple of retailers that were under the gun. They are really struggling with some of their financial performance. And you can understand it at a high level and this is not just for produce, this is across the board in terms of suppliers, and we are just at a point in our lives, in our corporate lives, where if we are already wondering about capacity constraints and all that stuff, should we be willing to go down and get dirty in some of this pricing that really is not, it doesn’t work for our shareholders and for us, in terms of having the types of returns and margins that make sense. We are prepared to walk, yes, we are and maybe that’s a revenue hit in the short-term, but we think it’s in our best interest and shareholders’ best interest to get compensated for the unique value that we bring. So, yes, we are prepared to do that. I don’t know that we will have to, but I am just saying it’s a possibility that we would have some of those situations in the next 6 to 12 months.
Daniel Rizzo: Okay, alright. Thank you guys.
Gary Steele: You are welcome.
Operator: Thank you. Our next question is a follow-up from the line of Morris Ajzenman from Griffin Securities. Your question please.
Morris Ajzenman: Again, that’s a follow-up from the question early about your line of credit and looking at acquisitions, the last two, three, four years, actually you redeployed capital pretty successfully by last call, GreenLine, the Windset investment. It’s still if you look back and if we look back, you have a number of balls in the air. You really done some real good things here, but do you feel comfortable at this point in time to go forward and again further redeploy capital into new type of investments that would be add-on investments, but first touch on that, and then I have a quick follow on related to that?
Gary Steele: Our capital deployment focus is changing, Morris, as you may know it. Last three years, it was purchasing Lifecore, it was the investment in Windset farm, it was the acquisition of GreenLine, etcetera, etcetera. Our outlook for the next 24 months is that our capital deployment priorities are first and foremost to get facilities expanded to accommodate our growth. We are catching a little bit of a tiger by the tail here is Americans are now more conscious of what they eat. They have calorie counts in the restaurants and fat food chains. We are dealing with a crisis in diabetes and obesity. So, we want to make sure that we can ride that tiger and that’s why we feel that we need to expand our Apio facilities in California and reconfigure them in Ohio and maybe Pennsylvania. So, that first and foremost is our CapEx priorities and that includes expanding our sterile filling operations in Lifecore. So, that’s number one. Number two priority of course is principal repayment for some of the debt that we have, which is obligatory and we’ll do that. And then the third priority is new product development, we want more of the sweet kale salads to be identified, discovered, and launched. And so those are our three priorities and never say never, but right now, I think we would be better served to really focus on these two core businesses, implement well, really drive earnings and sales growth, and now we will always have our eyes open for new acquisitions, but right now, I don’t contemplate a new acquisition in the next couple of years.
Morris Ajzenman: Alright. So, thereby, the line of credit you have established right now is more than sufficient based on the strategies for next 12 to 24 months?
Gary Steele: Well, it is.  I mean, we think it is, but on the other hand, as I said, we have got some unused borrowing capacity that’s there for us that we mentioned earlier, but we have been fortunate by keeping your eyes open to see things, and if they come our way, then I am going to change my mind and tell you that maybe it’s not, but for right now, we are okay.
Morris Ajzenman: And hypothetically, if this opportunity was to come along, is there a preference towards Lifecore or preference towards the consumer Apio franchise?
Gary Steele: That’s an excellent question, Morris, and the answer is there was a – before GreenLine, there was a very strong preference and intent to further invest in the food business and really establish East Coast presence, and so we had a clear preference for investing on the food side. Right now, I would say either side would be good, because we like both businesses. Lifecore is a nice cash generator for us. It helps us fund the growth of our overall business and our food business, but right now, I would say either side would be fine, we would welcome neither.
Morris Ajzenman: Thank you.
Gary Steele: Thank you.
Operator: Thank you. Our next question comes from the line of Matt Sherwood from Cooper Creek Partners. Your question please.
Matt Sherwood: Hi guys. Congrats on a strong quarter in a tough sourcing environment. Just wanted to follow up on the customer loss potential, I mean essentially supermarkets have been trying to cut costs for years and years and years. You know why is this commentary coming up in now? I mean, that’s first question.
Gary Steele: It’s a degree. It’s not black and white, it’s more of a degree, I think there is, and I said this is not systemic. This is just one or two of the larger guys out there that we are not going to mention any names, but they are just – by the way it’s with all kinds of products, not just produce, but there is an attempt to commoditize under the spirit of serving their customer well and delivering lowest possible prices. There is an increased trend. Let’s just put it this way. There is an increased demand in recent quarters to really get suppliers to bend and to lower prices and we are very accommodating. We love our customers, but we have a threshold of which we just feel like there maybe a time in the next year where we are being asked to go below that threshold in terms of margins and returns on investment. And I just wan to give people a heads up that, that trend that has been going on for sometime now as you suggest, I think with the couple of retailers it’s really gotten pretty severe.
Matt Sherwood: Yeah. It seems like you are doing the right thing to hold the line on price, but yeah, I mean, is this something like what’s your customer and concentration here? What percentage of revenues with the max could be affected?
Gary Steele: I think we are talking, if you really want to – max would be 5% to 10%.
Matt Sherwood: Okay, great. It’s not breakeven?
Gary Steele: I mean, it’s in that category, but I don’t want to alarm anybody, we are just saying hey, that’s the environment we are in, and we certainly have weather risk and then we have this thing going on, but they have so many positive trends going on with our industries that we serve, and the momentum we have and the innovation that we are bringing, our focus is on deposits. We just want to alert customers that we do have certain thresholds in which we will be prepared to walk if we have to.
Matt Sherwood: It sounds like you are doing the right thing.
Gary Steele: Okay, thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Will Lauber from Sterling Capital Management. Your question please.
Gary Steele: Yeah, hi Will.
Will Lauber: Hi guys. Just a question on the sweet kale salad mentioned to both of you here at the local Costcos, they get their shipments on Saturday, and it’s been either Wednesday or Thursday that they are sold out, there is I guess awful lot of opportunity there. I mean, is it a sourcing issue, is it a capacity issue if you can just kind of touch on what you can do to, I guess, reach more stores and as well as keep those stores that you already have fully stocked throughout the week?
Gary Steele: It’s not sourcing its operations. We are, as you know, very strong operators. We pride ourselves with that, but none of us has any idea of the substantial demand. And so we are scrambling to add lines. Basically, it’s – I am oversimplifying Will, but it’s on the operations side, it’s the production side. And so we are scrambling to add lines and increase throughput and capacity. So, that it’s hard to do that overnight, but I will tell you our folks in the facilities down in the Guadalupe are working enormous hours, and we just have to catch up the demand. We just had no idea that something like, I mean, it’s breaking records basically at Costco, and gosh, I hate to see stock-outs, but give us a little bit more time and we will be up to speed, and you won’t see that happening.
Will Lauber: And I guess in conjunction with that, as long as, along with the previous question, yeah, I am looking here at the St. Louis market and the major grocery store that you are in is SuperValu based, which I am guessing it might be the customer that you are referring to that’s trying to commoditize things, but there is also two private chains, you know one of them here that are kind of more upscale that would probably love to have products like the sweet kale salad….
Gary Steele: Yeah, yeah.
Will Lauber: So, how does that work, I mean if you would maybe lose some revenue, but pickup some higher margin products, is that kind of what you are thinking if you do have to get on as (indiscernible) your business?
Gary Steele: Right. I mean, if you lose a low margin, if you choose to walk away from a low margin customer, then man, I mean, you are going after gap fillers and you would like to replace it with people who tend to be in the higher end and value the type of things that we bring to the party that are unique. So, you’ve got it exactly right, Will.
Will Lauber: Okay. Alright, thank you.
Gary Steele: You are welcome.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program back to management for any further remarks.
Gary Steele: Well, we just wanted to thank everybody for being on the call today, and we look forward to reporting to you on not only our fourth quarter results, but in June, we should be able to report to you in our guidance for the new fiscal year that we will be entering, but we appreciate your support and we are glad to have the momentum that we have right now, so many thanks.
Operator: Thank you, ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect.